Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Korn Ferry's Second Quarter Fiscal Year 2022 Conference Call. At this time, all participants are in a listen-only mode. Following the prepared remarks, we will conduct a question-and-answer session. As a reminder, this conference call is being recorded for replay purposes. We have also made available in the Investor Relations section of our Web site, at kornferry.com, a copy of the financial presentation that we will be reviewing with you today. Before I turn the call over to your host, Mr. Gary Burnison, let me first read a cautionary statement to investors. Certain statements made in the call today, such as those relating to future performance, plans and goals constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although the company believes the expectations reflected in such forward-looking statements are based on reasonable assumptions, investors are cautioned not to place undue reliance on such statements. Actual results in future periods may differ materially from those expected or desired because of a number of risks and uncertainties, which are beyond the company's control. Additional information concerning such risks and uncertainties can be found in the release relating to this presentation and in the periodic and other reports filed by the company with the SEC, including the company's annual report for fiscal year 2021, and in the company's soon-to-be-filed quarterly report for the quarter ended, October 31, 2021. Also, some of the comments today may reference non-GAAP financial measures such as constant currency amounts, EBITDA and adjusted EBITDA. Additional information concerning these measures, including reconciliations to the most directly comparable GAAP financial measure is contained in the financial presentation and earnings release relating to this call, both of which are posted in the Investor Relations section of the company's Web site, at www.kornferry.com. With that, I'll turn the conference over to Mr. Burnison. Please go ahead, sir.
Gary Burnison: Thank you, Tom. Good morning. And I'm pleased to report that Korn Ferry once again achieved all-time financial performance highs. Revenue was up 47%, and our diluted and adjusted diluted EPS were $1.38 and $1.53 respectively. And our adjusted EBITDA margin was 21.1%. I think our performance over recent quarters has reached a new level of scale, and it speaks to the resiliency and agility of our colleagues, as well as our operational excellence amid a time of enormous transition and secular change. And this aligns with our businesses. Today, wherever and whenever strategy meets talent, Korn Ferry is at that cross-section, enabling agility in a world that will undoubtedly be in transition for the next several years. Our strategy in the New Year will be to continue to innovate, replicate, and scale, allowing people and organizations to exceed their potential in this rapidly changing world. Elements of our strategy will include driving a top-down go-to-market strategy through our marquee and regional accounts, which represent about 36% of our portfolio. And this not only facilitates growth and enduring partnerships, but is also key to more scalable and durable revenues. For example, in the quarter, about 30% of our revenue was driven by cross-referrals within our firm, demonstrating the effectiveness of our go-to-market strategy. Although our Search businesses, both Pro Search and Executive Search, combined, represent about 45% of our revenue, we believe there is still substantial market opportunity ahead given the acceleration of an increasingly nomadic labor market. It's one of the reasons we acquired the Lucas Group during the quarter, a move that adds breadth and depth to Korn Ferry's Search portfolio. Looking at our Digital and Consulting businesses, we will continue to innovate, marrying Korn Ferry's capabilities with tomorrow's opportunities, from ESG, to DE&I, to M&A services. And we're also going to further push the monetization of our IP, and move more of our digital business to a subscription offering. We're going to also scale our learning development outsourcing or LDO capabilities, leveraging our Korn Ferry Advance platform, in which we now have completed 50,000 development and coaching sessions. And lastly, we're going to deploy a balanced capital allocation strategy, including a disciplined approach to M&A. Looking ahead, I truly feel we have the strategy, the people, the diversity of solutions and expertise to help our clients drive performance in this new world. And our results clearly reflect this reality. We look forward to keeping up the momentum in the New Year ahead. And with that, I'm joined by Bob Rozek and Gregg Kvochak. Bob, I'll turn it over to you.
Robert Rozek: Great, thanks, Gary, and good morning and good afternoon, depending on where you are in the world. Let me start with a few comments before I jump into the second quarter results. So, I've always felt that the best way to measure success is through performance. And if you look at our performance coming out of the COVID recession, it's really been and continues to be exceptional, and is reflected in our Q2 results. There's no doubt that the world we live in has changed for good. Today, more than ever, our clients are facing unprecedented organizational and human capital challenges as workforces are transformed are digitized, as corporations are called upon to have great environmental, social, and governance responsibilities, as organizations strive to have work environments that are inclusive and free from bias, or even as companies are challenged to grow in a post-COVID environment. These are real secular changes creating real and challenging business issues for companies across the globe. And it's a fact that no business issue has ever been solved without the involvement of people. And it's really where Korn Ferry comes in; I mean that's our sweet spot, right. Our core and integrated solutions line up perfectly with the secular changes that companies across the globe are wrestling with today, whether it's finding the right talent in a dislocated labor market, to accelerating the top line growth, or to even keeping employees engaged, motivated, appropriately rewarded and retained in this new and evolving work and social environment. As these forces continue to shape the workplace, our clients, in growing numbers, continue to recognize the role that our people and our solutions play in helping them solve their most pressing business issues through their most precious asset, their people. I would also say that this is no our 15 minutes of fame. I mean these secular changes that we're all feeling are real, and they are here to stay. In my view, I think -- I really believe that we're in the first inning of a long ballgame. Now, just as market demand has been strong, our execution has been stronger driving our fee revenue, earnings and profitability to new all time highs. Now, I'm going to turn to Q2 results. So, as Gary mentioned, fee revenue in the second quarter grew $204 million, or 47% year-over-year and $54 million, or 9% sequentially, reaching an all time high of $639 million. Fee revenue growth in the quarter from our consolidated executive search business was up 59% year-over-year, and up 9% sequentially, while our RPO and professional search business was up 76% year-over-year, and 8% sequentially. Growth for our consulting and digital businesses was also very strong. Consulting grew 30% year-over-year and 11% sequentially, while digital was up 18% year-over-year, and 10% sequentially. Turning to earnings and profitability, they also grew to new highs in the quarter. Our adjusted EBITDA grew $69 million year-over-year and $13.5 million or 11% sequentially to $135 million, with an adjusted EBITDA margin of 21.1% both are new quarterly highs. Our earnings and profitability continue to benefit from both higher consultant and execution staff productivity and lower G&A spend. Adjusted fully diluted earnings per share also advanced to a new high in the quarter improving to $1.53, which was up $0.99 compared to adjusted fully diluted earnings per share in the second quarter of fiscal '21 and actually up $0.16 or 12% sequentially. It's really interesting when you compare our business today through the first six months to the same period in fiscal year '20, the pre pandemic period just two years ago, both our scale and our profitability are up dramatically. Our firm's fee revenue for the fiscal year '22 Q2 year-to-date period is up 25% with double-digit growth in every line of business. Our adjusted EBITDA over the same comparison period is up 67%. That's nearly three times greater than fee revenue growth, and our adjusted EBITDA margin is up 530 basis points to nearly 21%, our earnings power has never been higher. Now, as I look at new business that also accelerated in the quarter reaching new highs for each of our lines of business. On a consolidated basis, New Business Awards excluding RPO were up 40% year-over-year, and up approximately 8% sequentially. RPO new business was also extremely strong, with a record $136 million of total contract awards. This consolidated record level of new business across all of our business lines in the second quarter really provides us with a very solid backlog entering the fiscal third quarter. Our investable cash position also remained strong. At October 31, the end of the second quarter cash and marketable securities totaled $997 million. Now when you exclude amounts reserved for deferred compensation arrangements and accrued bonuses, our global investable cash balance at the end of the second quarter was approximately $591 million and that's up about $133 million or 29% year-over-year. It should be noted that this investable cash position includes approximately $90 million that was used to acquire the Lucas group on November 1. We continue to take our balanced approach to allocation of capital in addition to the Lucas Group and investing in the hiring of additional fee earners and execution staff, year-to-date, we've repurchased approximately $14 million of our stock and have paid cash dividends of approximately $14 million as well. With that, I'll turn the call over to Gregg to review our operating segments in more detail.
Gregg Kvochak: Thanks, Bob. I'm going to start with KF Digital. Global fee revenue for KF Digital was $88.6 million in the second quarter which was up 18% year-over-year and up 10% sequentially. The subscription licensing component of KF Digital fee revenue grew to $26 million in the second quarter, which was up 16% year-over-year and up 7% sequentially. Additionally, global new business for KF Digital in the second quarter grew 29% year-over-year to a new high of $114 million with 44 million or 39% related to subscription and licensed services. Earnings and profitability also continued to grow for KF Digital in the second quarter with adjusted EBITDA of $28.6 million and a 32.2% adjusted EBITDA margin. Now, turning to Consulting; in the second quarter, consulting generated $164.9 million of fee revenue, which was up approximately $38 million, or 30% year-over-year, and $16 million or 11% sequentially. Fee revenue growth continued to be broad-based across all solution areas and strongest regionally in North America, which was up over 43% year-over-year. Consulting new business also reached a record high in the second quarter growing approximately 17% year-over-year and 2% sequentially. Regionally new business gross was also broad-based in the second quarter with continued strength in North America and improving trends in EMEA and APAC. Adjusted EBITDA for consulting in the second quarter improved to $30.1 million with an adjusted EBITDA margin of 18.2%. Growth for RPO and professional search continued to improve in the second quarter. Globally, fee revenue grew to $150.4 million, which was up 76% year-over-year, and up approximately $11 million, or 8% sequentially. Both RPO and professional search continued to take advantage of post-recession dislocations in the labor market for skilled professionals. RPO fee revenue grew approximately 69% year-over-year, and 10% sequentially, while professional search fee revenue was up approximately 88% year-over-year, and 5% sequentially. Sequentially, both the number of new search assignments and the average fee per assignment were up double-digit for professional search. New business wins for both RPO and professional search were also extremely strong in the second quarter reaching new all-time highs. Professional search new business was up 13% sequentially, and RPO was awarded a record $136 million of new contracts consisting of $28 million of renewals and extensions and $108 million of new logo work. Adjusted EBITDA for RPO and professional search continues to scale with revenue improving to $36.3 million with an adjusted EBITDA margin of 24.1%. Finally, in the second quarter global fee revenue for executive search risks another new all-time high of $235 million, which was up 59% year-over-year and up 9% sequentially. Growth was also broad-based and led by North America, which grew 74% year-over-year and over 14% sequentially. Fee revenue in our international regions remained steady in the second quarter EMEA and APAC were up approximately 34% and 36% respectively, measured year-over-year, and essentially flat sequentially. We continue to invest in expanding our team of consultants in the second quarter. The total number of dedicated executive search consultants worldwide at the end of the second quarter was 570, up 58 year-over-year and up five sequentially. Annualized fee revenue production per consultant in the second quarter improved to a record $1.66 million and the number of new search assignments open worldwide in the second quarter was up 37% year-over-year and 5% sequentially to a new all-time high of 1,830. In the second quarter, global executive search adjusted EBITDA grew to approximately $66 million, which was up $38 million year-over-year, and up $4.5 million or 7% sequentially. Adjusted EBITDA margin in the second quarter was 28.1%. Now, I'm going to turn the call back over to Bob to discuss our outlook for the third quarter.
Robert Rozek: Great. Thanks, Greg. As I mentioned earlier, new business in the second quarter grew to a new all-time high and it actually accelerated each consecutive month in the quarter. And that positions us with a very strong backlog entering our third fiscal quarter. In fact, as we ended the quarter October and September were our first and second highest new business months ever. While our third quarter is usually our most seasonal quarters both our clients and colleagues take time off during the year-end holiday seasons. However, November will was also an excellent month for new business, actually eclipsing September as the second highest month ever. And that was up 37% year-over-year. Now, if monthly trends in each of our lines of business are consistent with our historical patterns and the market conditions remain strong. We would expect December to be seasonally slower than November with demand accelerating and peaking at a quarter high in January. Additionally, we will continue to make investments in consultants and execution staff to fuel future growth. And we expect employee productivity to remain strong in G&A spend to remain at current levels in the third quarter, keeping both earnings and profitability strong. Now assuming no new major pandemic related lockdowns or changes in worldwide economic conditions, financial markets and foreign exchange rates and including fee from the Lucas Group. We expect our consolidated fee revenue in the third quarter of fiscal '22 to range from $640 million to $660 million. And our consolidated adjusted diluted earnings per share to range from $1.42 to a $1.58, while our GAAP diluted earnings per share should range from a $1.38 to a $1.56. As we look ahead to the New Year, we see a great opportunity to continue to build on our strong financial performance. Based on the strength or I should say the continuing strength of our new business trends, it is evident to us that our portfolio of solutions will have a continuing relevance as companies address the secular changes I previously discussed. We will continue to execute at a high level, and there is little doubt that we are well positioned to take more than our fair share of the growing market. Korn Ferry has never been better positions to serve all of its constituencies, colleagues, clients, candidates, and shareholders for years to come. With that, we would be glad to answer any questions you may have.
Operator: [Operator Instructions] And our first question today will come from the line of Tobey Sommer representing Truist Securities. Please go ahead.
Tobey Sommer: Thank you very much. I was wondering if you could comment about the benefits of building out your professional search capability, and if you could continue to add to it. Is there anything in the marketplace that in terms of having a bigger established brand in the marketplace that could help, because I think that's a relatively fragmented market? Thank you.
Gary Burnison: It is. It's a very, very fragmented market, and it's a sizable market, and against a backdrop of a nomadic labor market, where people work at a company for a year or two and move on and up-skill and parlay salary and benefits. We really see an incredible opportunity. And the brand of Korn ferry is very, very powerful. And we think that combination along with our IP and our people create a sizable opportunity for Korn Ferry. And today on a run rate basis, that professional search piece of our RPO and PS business is probably running about $350 million, and we easily see that as $1 billion business for us. So, we're going to continue to invest in all of our search businesses, and in particular, Professional Search, and that could also include interim work and possibly even high-level staffing as well.
Robert Rozek: And the other thing I would add to that is the access that our Search folks provide to us, and we've seen it in each of the acquisitions that we've done, elevates our ability to perform as well, because the companies that we're acquiring just simply don't have the access that our folks do.
Gary Burnison: Yes, that's right, and that's a very, very good point, Bob, because when you look at the cross-referrals in the quarter, on a dollar basis it was an all-time high. And out of the $640 million or so of revenue, about $173 million represented cross-referrals. And those are real dollars that our colleagues get paid off of for cross-referring business. And when you look at our RPO and PS business, that's typically 40%-50% of the revenue in any given quarter, is actually referred from inside the networks. That's an excellent point, Bob.
Tobey Sommer: Could you talk a bit about inflation, both in terms of how it helps your top line across your different business as well as what you're seeing internally and your needs are kind of -- or stay competitive with internal compensation as well? Thank you.
Gary Burnison: Yes, it's certainly unlike anything I've ever seen. When you look at the transient nature of making companies' workforces today, then the outlook of younger people entering the workforce, it's just -- it's night and day from when I started years ago, a completely different perspective. If you look at our -- take our average fees, for example, on Professional Service, they're probably up 18%-19% over the last four or five quarters. On the Executive Search side, they're also up probably 12%, 13%, 14%, something like that. And I think that reflects what you're seeing in the market today around inflation and wage pressure. We've also raised prices across the board, whether it's our consulting business or digital businesses, we've had to increase our price points. And then internally for our colleagues, we've also -- I mean the amount of raises that we've given over the last 12 months is three times higher than we've ever done. So, I think that we're taking a balanced approach to making sure that we are being rewarded for the value that we deliver to clients, and also passing that on to, not only our shareholders, but, as importantly, our colleagues.
Tobey Sommer: Okay. Last one for me, if you could comment on what the continued acquisition pipeline looks like so that you're able to deploy your ample balance sheet and boost return? Thanks.
Gary Burnison: Yes, that's a good question. We certainly have a big eye towards the professional search market. It's something that, as you asked the question, it's opportunity, it's a fragmented market, Korn Ferry's brand is phenomenal. And so, we continue as we have to look at ways that we can grow that business. The Lucas Group is a company that I met probably 15 or 16 years ago, and it's one that we have periodically stayed in contact with, and we're thrilled to make that investment and have those colleagues now join Korn Ferry. And so, I think that given our legacy Professional Search business we had combined with the powerful platform of the Lucas Group, it's really a solid foundation to grow that business. So, that's clearly one. The second is I do believe that there is an opportunity to create an [LDO] [Ph] business here, much like we did with RPO years ago. When you look at, again, the megatrends in the world and you look at increasing level of turnovers at companies; you can maybe partially solve that through compensation, but that's really not the answer. People want to grow, they want to be developed, they want to be stimulated, they want to know that what they do matters to another human being. And I think that development, whether that's coaching, that can go a long way to, I think, reducing turnover. And that makes a huge impact on a company's P&L, there's this hidden cost on every income statement called turnover. So, we see with our IP that we have, and just phenomenal opportunity to replicate what we did with RPO. But do it in the learning space. So, those two areas certainly come screaming off the page. And then, we're also looking at other areas such as such as our consulting business or digital businesses. So, we're going to -- we had a very systematic approach to M&A, and we're going to continue to.
Tobey Sommer: Thank you.
Operator: Next, we'll go to the line of Tim Mulrooney representing William Blair. Please go ahead, sir.
Tim Mulrooney: Yes, good morning, everybody. Thanks for taking my questions. You were helpful in sharing with us, what percentage of your Professional Search clients or I guess what percentage of your Professional Search business is referred from the Executive Search business? I was wondering if you could also comment on how many Executive Search clients don't currently use Professional Search services, but could benefit from them.
Gary Burnison: So, a huge amount, I mean, I don't have the data in front of me, but it's enormous.
Tim Mulrooney: It is not saturated?
Gary Burnison: No, no, and not even, not even, not even close. And so, okay, the opportunities there. So, how do you go about that? Well, the first answer to that is through our marquee and regional accounts, driving loyal, sustaining clients of scale. And today, we have about 350 marquee and regional accounts, that represents about 36% of the portfolio and that would be the first lever that we pull, but now there's it is far from saturated in terms of the penetration there.
Tim Mulrooney: Okay, all right. Well, that's helpful. Did Lucas Group, did that include some temp staffing, as well as like two thirds professional staffing was from temp, is that something that you guys with Lucas temp staffing an attractive spot right now, all the companies are up a lot. It's very, very busy. So, there's a dislocation there, too. Is that something you guys would look into getting further involved in?
Gary Burnison: Absolutely, yes, we do believe there's an opportunity there again against this nomadic labor market. It's for sure. And I think that coming through this pandemic, and now not only digitizing everything, but work anywhere, anytime. That is going to play very, very well into that trend. So, yes, we did pick up a very good base of interim staffing business, and we're going to continue to drive that which is new for Korn Ferry. I mean both of these areas really, I mean, we've been in the Professional Search business for years, but both of these areas really speak to a new opportunity for our firm.
Tim Mulrooney: Yes, that's interesting. I wasn't sure how you're going to answer that. But yes, I mean that makes perfect sense. Just one more for me, within your Executive Search business, both Pro and Executive, I guess within your search businesses, both of them, I was hoping you could talk a little more detail about how the volumes trended through your fiscal second quarter here. I mean, did they essentially, did they continue to accelerate month over month throughout the quarter, or was there a little more choppiness in those numbers?
Gary Burnison: Bob, you want to answer?
Robert Rozek: Yes, I'll take that. Listen the volumes is in line with our overall new business did accelerate throughout the quarter and actually continued in the month of November, the month of November is in terms of the search volumes with our highest volume in terms of units, that we've ever had. So, we continue to see great volumes, great levels of searches being won by our folks.
Tim Mulrooney: Okay, all right. That's very helpful. Thanks for taking my questions, guys.
Operator: We will go to line of George Tong with Goldman Sachs. Please go ahead, sir. Mr. Tong?
George Tong: You touched on continued traction with your marque and regional accounts this quarter. Can you elaborate on broader cross-selling activity among these larger accounts and how much opportunity remains as well as what that means for potential market share performance?
Gary Burnison: Well, the marquee and regional accounts represented about 36% of the portfolio. If you look at world class professional services firms like ours, you would find that number on "house accounts" would be 40%, could be as high as 45%. We continue you to have -- that's our first strategic lever. The performance of those accounts outperformed the portfolio again. Then in terms of the cross-referrals, this was the highest dollar amount of cross referrals that we've had in a quarter. And like I said earlier, those are real numbers. Our colleagues are rewarded both on the spot on an ongoing basis, as well as when we evaluate end of the year performance. So, both of those aspects of our strategy we're walking -- definitely walking to talk.
Robert Rozek: And, George, this is Bob. I would also add when you look at the opportunity there. I mean, as we think about the cross line of business referrals to be excellent in that area, if you're achieving 35% to 40%, then you're really hitting your sweet spot. I look at what we've done over time, go back to FY'18, we're at 14%. Year-to-date we're at 28 a little bit north of 28%. So, obviously we've grown that nicely and there is still to get to 40%, there's still ample opportunity for us to grow the cross line of business referrals. The other thing I would add as well is if you look at what I find really encouraging, a lot of the referral activity historically had gone from executive search to the other lines of business. Again, going back to FY'18, the referrals into executive search were only 3.6%. Today it's closer to 10%. So, again, we're making great progress there in terms of the sort of cross fertilization across all lines of business.
George Tong: Got it. That's helpful. You've continued to deliver significant EBITDA margin expansion in the current environment. How are you thinking about the long-term structural margin opportunity at Korn Ferry and how has the pandemic changed your overall underlying cost profile?
Robert Rozek: Gary, you want me to jump on that?
Gary Burnison: Yes, for sure. Yes. So, George, I think in the last couple of calls, we had talked about some of the key drive to the structural change, whether that was -- how we enabled the execution of our services, our BD kind of internal meetings travel and our real estate. And we said that we felt it was a 200 basis point improvement. So, historically we talked about a 15% to 16% sort of long-term range. So, we bumped it up to 17 to 18. Now that we've got sort of three quarters under our belt, we actually think that it's closer to 18% to 19% in terms of the structural changes. You saw in the quarter, we took a charge for our real estate strategy. Where we are today on that, we've reduced about 20% of our overall footprint. We still have some little bit of work to do there. My guess is by the time the dust settles, it'll be down probably 25% plus minus. And so, that'll be obviously permanent structural change that we have on the BD, travel internal meetings. We were doing $11 million a quarter. I think going forward we were at one over the past couple of quarters, one to two that will probably settle in right around five, five-and-a-half. So, again, permanent structural change. And I think just the scaling of the business and the productivity of our folks driven by the ability to work virtually, that's going to be permanent structural change. In fact, one of the things I do before every quarterly calls, I reach out to partners in the firm, and I was talking to a couple of search partners last week, and they were commenting on the fact that, they believe they're going to be able to conduct more searches, the close time to searches is faster. So, I think the impact of working virtually is going to be again, more structural change, and that's why we've elevated our long-term sort of EBITDA margin outlook to 18% to 19%. And then given, where our top line goes, if Digital achieves what we expected to achieve, there could be upward pressure on the 18% to 19%.
George Tong: Got it. Very helpful. Thank you.
Operator: And next we're going to line of Mark Marcon with Baird. Please go ahead.
Mark Marcon: Hey, guys. Good afternoon, everybody, and congratulations on the great quarter. I'm wondering, Gary, I want to just start on a big topic. If you get more into temporary staffing, it has a certain market perception and Korn Ferry has an elevated market perception related to executive search and consulting. Can you frame a little bit about how you're thinking about the types of temporary staffing that you could potentially get into and how you would protect the franchise and the brand name?
Gary Burnison: Well, you're absolutely right. Number one, it starts with the quality of delivery, but we would be definitely focused on the more higher end of that marketplace. We would not see ourselves going and I hate to use this term but down market, we would not be doing that. We would certainly be focused on skilled positions. And probably around three or four functional areas such as legal, such as finance and accounting, such as certain aspects of technology, but we would stay as you indicated at the higher end for sure. No question about that.
Mark Marcon: Great. And can you talk a little bit about Lucas Group. I mean, obviously, the -- it was just completed on November 1st, but and so early, but what's the initial reaction and what's embedded in terms of the guidance in terms of their contribution and what -- how should we think about the analyzed run rate?
Gary Burnison: About $100 million a year without taking into account the gross synergies, so, call it today $25 million a quarter. I had indicated it's a company that I met with -- I met with [Art Lucas] [Ph] probably 16 years ago, and was always enamored by their -- that the brand that they have in the marketplace. They started more on the military side and over the years have evolved into technology, finance and accounting, legal, supply chain, technology, and so it's a very, very balanced portfolio and it really speaks to the handful of functional areas, that Korn Ferry would have an interest in and as an earlier question, part of their business, less than 50%. But part of their business is around interim placement, which we were also attracted to -- and in terms of the success so far, we're only one month into this and we've already seen some very, very nice wins and including a couple wins actually for our executive search colleagues that came from the Lucas Group and I can think of one that was very, very sizable for Korn Ferry say two-and-a-half to three times the size of our average fee. So, it's -- we're off to the right start for sure. I think they've got just fantastic people. And I think this is the beginning, I think with Lucas Group and our pro search business, and the reaction inside the firm has been incredibly positive. And all of the physical meet and greets that we've done so far very, very well. And more importantly, we've seen wins in the marketplace. And I think that hopefully that the Lucas Group colleagues feel like they're part of Korn Ferry family.
Mark Marcon: That's great. And Gary, we've both gone through multiple cycles. How are you thinking about this? I completely agree with you with regards to, hey, we've got number of behavioral changes is that we can observe. We've got the baby boomers that are retiring. But obviously, there is also some [peekish] [Ph] type behavior out there as well. So, how are you thinking about it just in terms of where you think we are, and then how are you thinking about the capital deployment because you obviously have the capital to deploy, so how careful would you be at this stage?
Gary Burnison: Yes, we're certainly not going to -- we certainly wouldn't reach that's for sure. I can speak to somebody that I know very well who is graduating from college, who hasn't even started and she is going to work for a professional services firm in the summer, and has already seen two raises before, she's even started. So, it's a market that is unlike anything I've seen. I mean the big wild cards inflation that could be the real killer. And it is definitely not transitory, it's certainly widespread. So, that is -- I think that is probably the biggest risk next any geopolitical risk. We haven't seen anything in terms of this new mutation in terms of an impact on the new business. It could, but I would say that younger people coming out of college today have just a completely different outlook on opportunity and careers that I certainly did not have. And I think that nomadic labor market spells opportunity for Korn Ferry, yet at the same time, you're right, we've seen a number of different cycles. And I'll tell you just going back to years December of '19, if you would've told me that there was going to be a global pandemic and we would've lost so many lives and so many people would be inflicted by this common enemy. And society would go through all of this. And on our business, we would furlough employees, we'd ask people to take pay cuts, and we would repay all of those pay cuts. We would hire back substantial all those employees and our business would be 30% higher, who would've guessed. So, it's certainly hard to predict the future. But I think inflation is probably the biggest question that's out there, Mark.
Mark Marcon: And obviously you are able to more than pass along all of that?
Gary Burnison: Yes. We're certainly, I mean, fortunately or unfortunately, we're doing that, and you just look at the data in the Professional Search and Executive Search business in terms of the average fees. I mean, it's absolutely reflective of not only the strategy, but clearly it's reflective of the inflationary environment, right?
Mark Marcon: That's great. Can you talk a little bit about capacity? I mean, obviously business is booming. How stretched do you currently feel? How should we think about internal ads and just deploying capital to recruit more people organically?
Gary Burnison: Well, we're going to continue to deploy capital to recruit people on all aspects of our business. We've probably never been as aggressive as we are right now. So, we're going to continue to do that. I think we've got a good track record of bringing new colleagues and on onboarding. So, we're going to absolutely continue that. In terms of our colleague count, we're actually a little bit higher than we were pre-pandemic. So, I think that we've gotten the right balance there in terms of our capability clearly, the ability to execute on engagements. Just like we're looking for fear and others, we're certainly continuing to add execution resources, our turnover is substantially less than what I would consider a world class professional services firm to have. So, I'm not going to disclose it, but our turnover right now, so far this year is only 200 basis points higher than it was say before the pandemic. So, that's good news as well.
Mark Marcon: That's great. And then, with regards to consulting, and specifically digital, can you talk a little bit about some of the new wins? And what you're most excited about? And what is, what seems really promising?
Gary Burnison: Well, I think we have unlimited IP. And the question is, can we take that IP and configure it to improve an organization's retention of their people, and whether that's retaining people in other years, six months, two years, it has an enormous impact. So, that's absolutely our intent. And I can think of an engagement that is very, very recently, major technology company, where it's an eight figure engagement, that's principally digital, where they have licensed our IP to improve their effectiveness. And so, and that came about in part came about because of our marquee and regional account strategy, it came about because of an acquisition that we did before the pandemic. So, I think that's pretty indicative of what we can do there. And I think the other area is this LDO, the LDO capability, and to take our IP, and to license that to companies to develop their people. And through the KF Advanced platform, we've done 50,000 individual coaching and development sessions. So, what started out as a B2C business actually has turned out to be an incredible technology platform that coupled with our IP companies can use to develop their people at a pretty cost effective way.
Mark Marcon: That's great. And yes, that eight figure deal that you have with that specific company is pretty exciting. Do you see others that could be like that, coming in the near future?
Gary Burnison: Well, we look that's a huge win. We do have a good pipeline. And we'll say, I think that our IP is second to none. I mean, if you look at the amount, we develop a million professionals a year, we've done 70 million assessments, we have incredible learning journeys, whether those are anchored around DE&I or ESG. I mean, it's pretty robust. And I think part of it comes down to CEOs, will they recognize that there's other ways than just money to keep people engaged. And I think at a time where people are going to be increasingly nomadic, the real risk for companies, is it in this hybrid world, but that employees become kind of free agents. And, it's hard to leave other people, it's easy to leave companies, but it's harder to leave other people and the risk is, in this hybrid world, are people going to become they're going to feel increasingly like they're free agents, and there's no loyalty to a brand, to a company. And there are ways that that CEOs can address that. And it's not just money. And I think that potentially using IP, using Korn Ferry's IP, whether that's through coaching or whatever, is one way that can have an impact on turnover.
Robert Rozek: And Mark, this is Bob, just so it's clear, the engagement Gary was talking about actually is it's going to be a subscription. So, the eight figures will be realized over three years.
Mark Marcon: Yes, I know about that one, yes.
Robert Rozek: And then the LDO ones that Gary was talking about, those are also eight-figure engagements that are going to be realized over two, three, four years.
Mark Marcon: That's great. And lastly, this Sunday on the RPO, new business signings, you mentioned a number of new logos, were those new logos former RPO users, or they brand new to RPO?
Gary Burnison: I don't have the exact split on that, Mark. But my guess is it's probably in the kind of 50:50 range where we're stepping in and roughly half of them and taking over from another provider. And then the other half is just there's what we're seeing in the marketplace is a growing acceptance of handing over your talent acquisition activities to an outsourced provider.
Mark Marcon: It's great, thank you. Congrats.
Operator: And gentlemen, there are no further questions at this time.
Gary Burnison: Okay. Well, listen, thank you, everybody, I sincerely wish everybody a Merry Christmas, Happy Hanukkah, Happy Holidays. And we look forward to speaking to you in the New Year. Thank you very much. Bye-bye.
Operator: And ladies and gentlemen, this conference will be available for replay starting this afternoon at 4 PM, Eastern and running through December 14 at midnight, you may access the AT&T Executive Playback Service at any time by dialing 866-207-1041 and entering the access code of 4258773. Those numbers again are 866-207-1041. Please enter the access code of 4258773, International participants you may dial 402-970-0847 and I use that same access code of 4258773. Also the replay will be available for playback at the company's Web site at www.kornferry.com in the Investor Relations section. That does conclude our conference for today. Thank you for your participation using the AT&T Executive Teleconference. You may now disconnect.